Operator: Greetings. Welcome to Helios Technologies Third Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Tania Almond, Vice President of Investor Relations. Thank you, you may begin.
Tania Almond: Thank you, operator, and good day everyone. Welcome to the Helios Technologies third quarter 2021 financial results conference call. We issued a press release this morning. If you do not have that release, it is available on our website at hlio.com. You will also find slides there that will accompany our conversation today. On the line with me are Josef Matosevic, our President and Chief Executive Officer; and Tricia Fulton, our Chief Financial Officer. They will spend the next several minutes reviewing our third quarter results, discussing our progress with our accelerating growth goals, updating our outlook for the rest of 2021 and then we will open the call to your questions. If turn to Slide two, you will find our Safe Harbor statement. As you may be aware, we will make some forward-looking statements during this presentation and also during the Q&A session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from where we are today. These risks and uncertainties and other factors will be provided in our 10-Q to be filed with the Securities and Exchange Commission. You can find these documents on our website or at sec.gov. I’ll also point out that during today’s call, we will discuss some non-GAAP financial measures, which we believe are useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of comparable GAAP with non-GAAP measures in the tables that accompany today’s slides. And with that, it’s now my pleasure to turn the call over to Josef.
Josef Matosevic: Tania, thank you and good day everyone. Please turn to Slide three and I will summarize our highlights for the quarter. Our Helios team delivered outside growth again this quarter across each line of our business by expanding our market share with our current customers winning new customers and diversifying the markets we serve. We believe this is a direct result of the strong execution and our augmented strategy for growth that is made possible by the passionate culture instilled in our team we shared values of integrity, inclusion, leadership, accountability and innovation. Every day we leverage our core values as we address the challenges of supply chain constraints and material costs head on with flexibility, agility and creativity. We are not immune to the logistical constraints everyone is facing with transportation challenges. We are prioritizing constantly to meet our customer’s needs by partnering with our suppliers and identifying new sources to complete orders timely and maintain our top tier lead times. We have stayed focused on optimizing our manufacturing efficiencies and implemented multiple pricing strategies across all of our businesses to cover the inflationary pressures been realized. It is important to know audited through all of this demand remains robust across all of our markets and we believe we continue to take market share due to our responsiveness to our customer’s needs. Back, we had 30% organic growth in the quarter, reflecting strong demand and our operational flexibility to deliver. This was bolstered by winning new customers in diversified markets, as well as the new products we have introduced that have been well received. Additionally, we recently won an important new customer in the electric vehicle design and manufacturing space. We will provide edge-to-edge electric control displays over a multiyear period. This is a perfect example of a new customer win in a diversified market. As you know, this quarter we have been integrating our NEM acquisition that we spoke about on our last call. We are very excited about how nicely we see their products feeling out our good, better and best portfolio approach in our electrohydraulic product offerings. We expect to start bringing this combined offerings to the market relatively quickly through the end of this year into early next year. Just after the third quarter, we closed our acquisition of the assets of Joyonway. Both NEM and Joyonway are excellent examples of effectiveness of our Flywheel acquisition strategy. Joyonway is an ideal addition for our electronics segment that complements our control platform from Balboa acquisition, further expand our reach into Asia, increase our manufacturing capacity as well as help us better serve in the region, for the region and strengthen our supply chain. They are another example of a strong standard loan business that fits within the Helios business system like a glove, and we will be able to create a multiplier effect. Because of our strong cash generation this quarter, we have once again rapidly delivered our balance sheet quickly getting back to our targeted two times leverage metric, providing dry powder to continue advancing our acquisition strategy. And I should add that the pipeline continues to remain very robust. Due to the strong quarter performance, the strength of demand in our markets, and our team's excellent work in achieving manufacturing efficiencies, we are again raising our full year 2021 revenue and non-GAAP cash EPS outlook while holding margins steady even with the backdrop of this most unusual operating environment in the supply chain. We are encouraged by what we are hearing from our customers and believe this sets us up for a solid 2022 as well. Let me review some of the financial highlights on slide four and five and then pass it over to Tricia for more details. Our second quarter net sales increased over 80% to $223 million, including $64 million in sales from acquisitions. Our adjusted EBITDA margin remained top tier at 25.1%, this was a 170 basis point expansion over last year. Non-GAAP cash EPS was 107 more than double over last year, reflecting the strength of the economic recovery, our ability to capture a greater share of growth and the addition of several excellent acquisitions. Our Helios team is the absolute key to our success, and I could not be proud of dedication and fortitude through the most unusual operating conditions of probably all of our careers. I will now turn the call over to Tricia to review the financial results and outlook in a little bit more detail. Tricia?
Tricia Fulton: Thank you Josef and good day everyone. On Slide six and seven, I will review our third quarter consolidated results. As Josef noted, we outperformed and delivered outstanding growth in third quarter supported by our focus on delivery lead times and managing our operations efficiently. We continue to expand our sales channels while our existing end markets remain robust. We are focused on executing our Flywheel acquisition strategy and our most recent transformative acquisition of Balboa exceeded our expectations again. Net sales grew 82% over the prior year period, as we executed our growth plans and continue to take market share. As Josef mentioned, we delivered very strong 30% organic growth during the quarter. Third quarter gross profit of $80.9 million increased $34 million or 72% over the prior year period from higher volumes. Gross margin was a very healthy 36.2% and was impacted year-over-year by the difference from Balboa’s margin profiles. Throughout the quarter, we captured manufacturing efficiencies, and improved leverage over our fixed costs based on higher sales, which were offset by increases in logistics and raw material costs. We have done and continue to implement multiple pricing strategies, while also carefully managing the business to overcome the higher input costs. Manufacturing is performing well, given the constant reprioritization we need to do to get product out the door. Maintaining extreme flexibility and agility in our operations has been a competitive advantage and it's helping us take market share. Adjusted EBITDA margin grew to 25.1% of 170 basis points from the same period a year ago, reflecting higher volumes and our discipline cost management efforts. Non-GAAP cash EPS improved $0.54 to $1.07 for the third quarter over the prior year period, reflecting strong demand across all industries, and better than expected performance of the Balboa acquisition. Our effective tax rates in the third quarter was 25.5% compared to 20.7% in the prior year period, due to a reduction in available tax incentives, and increased earnings in higher tax jurisdictions such as Italy, Germany and Australia. Please turn to Slide eight for review of our Hydraulic segment third quarter operating results. Third quarter hydraulic sales of $133 million were up 36% over the prior year period, and benefited from broad based improved demand in most of our end markets, showing very strong annual growth in the Americas and EMEA. Annual organic growth in this segment was 31%. Sales included a positive 1 million impact from foreign currency exchange rates. Q3 Hydraulics gross profits benefited from higher volumes while margin increased 150 basis points to 37.6% primarily driven by fixed costs leverage on higher sales, manufacturing efficiencies and sales mix. The 460 basis point operating margin expansion to 23.8% compared with the prior year period reflects operating leverage on higher volumes as well as our disciplined execution on our manufacturing strategy. Please turn to slide nine for review of our Electronic segment third quarter operating results. Electronic sales were $89.8 million, up from the $24.4 million in the year ago period, reflecting an increase of 268%. Annual organic growth in this segment was 26%. We are seeing strong demand from the health & wellness and recreational markets. Supply chain constraints limits its sales in both end markets in the quarter. Acquisitions contributed $59 million in revenue to our electronic segment for the third quarter. Next quarter we will observe one year since acquiring Balboa and it will be classified into our organic growth categories. We continue to be very excited by the potential this acquisition has brought to our business. Electronics segment gross profit of $31.3 million in Q3 increased with the acquisition and higher volume. Electronics gross margin was 34.9% and reflects the impact of mix primarily related to the different margin profile of the Balboa acquisition, as well as increased costs resulting from supply chain challenges to meet strong customer demand. Operating income for the electronic segment of $18.4 million was up from $4.7 million in the prior year period, and operating margin improved 130 basis points. The 2021 third quarter margin reflects operating leverage gained with Balboa’s favorable operating profile and higher volume in the organic business. Please turn to Slide 10 for a review of our cash flow. Cash from operations was $32.5 million in the third quarter compared with $36.7 million in the prior year period. We are carefully balancing our working capital requirements with our efforts to provide timely deliveries to our customers amidst significant demand and material shortages. For the quarter, CapEx was $6.7 million up from $1.9 million in the third quarter of 2020. CapEx for the full year 2021 is expected to range between $25 million to $27 million. This is down from our range of $30 million to $32 million due to the timing of when certain investments will be available. On a year-over-year basis, this will be an increase of 78% from our capital expenditures in 2020. Free cash flow was a strong $25.7 million at the end of the third quarter, equating to a trailing 12-months free cash flow conversion rate of 103%. We are confident we have significant financial flexibility to further pursue our Flywheel acquisition strategy. Regarding our capital structure on Slide 11, we continue to rapidly deliver our balance sheet. This quarter, we hit our target range of pro forma net debt-to-adjusted EBITDA leverage of two times. This improved from the three times at the end of 2020. Total debt was $471 million at quarter end. We also have $121 million available on our revolving lines of credit with total liquidity of $169 million. As a reminder, our financial strategy is to increase leverage for disciplined acquisitions and then generate the cash to quickly pay that down. Our capital priorities remain debt reduction, organic growth through new products and technologies, acquisitive growth and distributions to shareholders. In fact, with our next dividend payments, we plan to join an elite group of public companies that have paid dividends for 25 years straight. Now, let’s turn Slide 12 and I will discuss our outlook for the rest of 2021. Our guidance for 2021 assumes constant currency using quarter and rates, as well as the assumption that our markets are not further impacted by the global pandemic. As a result of our outperformance this quarter, we are raising our revenue outlook for 2021 to the range of $840 million to $860 million, which implies an annual growth rate of approximately 63% at the midpoint of the range. We are holding adjusted EBITDA margin outlooks steady at 23.5% to 24.5%. We continue to leverage our manufacturing efficiencies to offset stronger headwinds in the fourth quarter due to rising material costs. This implies we are raising our expectation for adjusted EBITDA dollars, the range of $197 million to $211 million or a 68% annual growth rate at the midpoint of the range. Additionally, we continue to invest through non-CapEx related items into our manufacturing strategy to reap the rewards of margin improvement over the long term. Relative to our margin guidance, we are reflecting inflated material and freight costs continuing through the remainder of the year. The challenges of obtaining parts and supplies even as we build inventory, as well as the difficulties in staffing and balancing production lines. We are tightening our interest expense outlook to $16 million to $17 million at current borrowing levels and rates. The expected effective tax rate for 2021 remains in the range of 22% to 24%. Depreciation is now expected to be between $21 million to $22 million, while outlook and amortization is unchanged at approximately $32 million to $33 million. We are raising our non-GAAP cash EPS outlook to between $3.75 to $4.10 per share, or a 75% increase over the prior year at the midpoint of the range. The increase in our guidance for 2021 is driven by the strong end market demand we have so far this year, and expect to continue throughout the remainder of 2021. We expect that we can leverage our fixed cost base and maintain our strong margins even given the headwinds on the supply chain, material costs and logistics. The spread in our ranges this far into the year is an indication of the highly unusual operating environment we all find ourselves within. With that, I will turn the call back to Josef for some final comments.
Josef Matosevic: Thank you, Tricia. This is certainly fascinating times. We have exceptional demand for our products while also having to be very agile to meet the demand. Our team has proven we are up to the challenge and we remain super excited about how we are shaping and driving our future forward. With that, let's open the lines up for Q&A please.
Operator: [Operator instructions] Our first question is from Nathan Jones with Stifel. Please proceed.
Adam Farley: Good morning, this is Adam Farley on for Nathan.
Tricia Fulton: Morning Adam.
Adam Farley: Hey, you guys called out your really strong lead times a couple of times on the call. Is this leading to and you call that share gain opportunities as well? So could you provide a little bit more color on what the share gain opportunities have been so far?
Tricia Fulton: Yes, I think we've had a lot of opportunities that we've seen on an individual basis coming through from a market share gain perspective, where we have had customers reach out to us and say, hey I can't get this from one of your competitors. And we've been able to satisfy the need for that customer. In some cases, it's a one-off, but in many cases, we believe it's a long term share gain for us. And we've seen a lot of those in the hydraulics space over the last few months, maybe a little bit less on the electronic side. But, part of that is supply chain related, because that's hitting the electronic side a little bit harder than hydraulics. And we've been able to really maintain our strong lead times on the hydraulic side, and take market share.
Josef Matosevic: And then and probably the other data point would be that we had our distribution council meeting here just about a week ago in Sarasota. And that kind of confirms what Tricia just said, with the feedback we have gotten from the distributors and or the parent that there were previous customers who did not purchase from us that we are now supplying. So those are the two key drivers.
Adam Farley: Okay. And do you think there's any double ordering going on in the system with any customers trying to secure inventory?
Tricia Fulton: We don't have an indication that there is any I mean, right now everyone's just trying to get what they need, understanding the logistics and supply chain issues and get what they need as quickly, but we don't see any indication of double ordering. No.
Adam Farley: Okay. Thanks for taking my questions.
Tricia Fulton: Thank you.
Operator: Our next question is from Mig Dobre with Baird. Please proceed.
Mig Dobre: Thank you. Good morning. And well, well done in a difficult operating environment. I guess where I'm looking for maybe a little more context, Josef is the tenure of demand in in your two businesses, I'm sort of curious as to how orders are running relative to revenue. So you're seeing, higher or lower order intake in a quarter relative to what you reported in revenues. And I'm also curious, given the amount of disruption that is out there. Have you seen any impact negative impact on customer demand? What are you hearing from your OEM customers as far as how they're planning their own production not just for the fourth quarter, but really into 2022?
Josef Matosevic: Yes. Good morning, Mig. Thanks for the comment. So in terms of your first question our order pattern has been very consistent throughout all of our businesses. It really hasn't fluctuated up and down, both segments, hydraulic and electronics. You always go to periods of time where you see a spike up, and then it's balanced back down. And then you get quite a few calls and can be actually shipped earlier. And so you get that type of stuff. But in terms of order pattern, there hasn't been really no fluctuation or cyclicality. And your second question is, we look at this very closely every single day and when we changed our guidance, we've factored that and there is a strong level of optimism in certain areas. And now, obviously, with the infrastructure built to pass and will be signed, there's that optimism is obviously peaked. We are just super careful. How are we going to meet the demand, there is what we're hearing is very consistently is demand should stay robust. We are working very close with our distribution partners and OEM partners to really level out a schedule that we can fulfill this schedule on a timely basis. The demand is stable. We are seeing optics in certain areas. And we have balanced this very carefully with some of the supply chain challenges we, towards the scene, so to say. But I think this kind of just kind of where we are Mig.
Mig Dobre: Okay. Maybe to put a finer point, looking at your hydraulics business. The thing that surprised me looking at both EMEA and Asia Pacific, revenues here are fairly consistent sequentially in the third quarter relative to the second. And, we've heard that China has slowed down and in -- equipment volumes are certainly lower there. In EMEA, I know you have, that's basically the faster business where there has been disruption for ag OEM customers. I think one of them has talked about having outright planned shutdowns for their European operations. So what are you seeing in these two geographies? China specifically, and then the progression of demand for your, for your ag customers in implicitly your EMEA hydraulics business?
Josef Matosevic: Yes, and China piece and Tricia can chime in as well. On the China piece, I think what what really helps us make in a, we really stay true to our strategy of being a niche market in the region, for the region in Asia. But one of our strategic pillars just a year ago was to have a more of a system solution approach where we have our concern factory, not just manufacturer and ship hydraulic components, but all the electronics components as well. So we were able to have an impact in Asia from a more systems cell approach than just a component approach. And that, in turn helped us in the region with local supply chain and local capabilities of manufacturing. In EMEA, if it's Italy, Germany, U.K., Spain, you name it, we have seen very strong and, and promising demand, no interruptions. We are seeing cost headwinds in terms of inflationary period, but we knew that would happen, and we are offsetting that with price increases, and as you guys know, we were successful also working with the OEMs. On price increases, thought that Soto's went through. But then we have a lot of flexibility in our European manufacturing, to flex labor up and down and, and, and we pre bought quite a bit of material to really protect us as much as we can. So…
Tricia Fulton: Yes, just to add a little bit more specifics on a couple of the markets. In APAC, we are seeing the Korean construction market be very strong. And it's picking up speed, which has historically led to them China ramping back up at least from what we've seen historically. And then China AG is extremely strong in our QRC business as well. They're growing very quickly and taking market share there. The other part of APAC that is starting to come back a little later in the third quarter was the mining in Australia. So quite a bit of our business there and we had seen a decline because of COVID where we literally couldn't get into the minds but now we're able to go back to those customers. And that seems to be ramping back up as well.
Mig Dobre: That's helpful. My last question. You mentioned pricing. I am curious if we can get a little more detail or context on this. I look at your, your incremental margins on EBITDA. And they've been remarkably consistent 28, 29, 27 throughout 2021, despite incremental costs, right. You call out transportation materials and a number of other factors. So I'm curious as to how you've been able to deliver these steady incremental margins? How is pricing looking? And what might be the carryover contribution into 2022? Thank you.
Josef Matosevic: Yes. Go ahead, Tricia, go ahead.
Tricia Fulton: Start talking at the same time. Yes, we are we've been able to get pricing throughout all of the businesses, in some cases multiple times throughout the year. And in addition to that, the manufacturing strategy is really picking off and helping us with manufacturing efficiencies that are driving some of that incremental gain that we're seeing as well.
Mig Dobre: And carry over into 2022, can you comment on that?
Tricia Fulton: Some of the price increases went through as a permanent. Some of them went through as surcharges related specifically to material increases. So there will be some carryover into 2022. And there will likely be, additional pricing actions in 2022 just related to general price increases.
Mig Dobre: Thank you.
Josef Matosevic: Thank you, Mig.
Operator: Our next question is from Jeff Hammond with KeyBanc Capital Markets. Please proceed.
Jeff Hammond: Hey, good morning.
Josef Matosevic: Good morning, Jeff.
Jeff Hammond: So, just back on the fall on Mig’s question, I think he had asked about either book-to-bill or if you're still building backlog here, or if just your ability to ship is, is allowing you to kind of to work that down at all.
Tricia Fulton: We still have very strong backlog. And that really is coming from the end market demand. I expect that the backlog will be strong headed into 2022. And, like everybody else, we do have some past due. But we are doing a very good job at managing our past due dollars right now and getting them out the door as quickly as we can. A large majority of those, they are on the electronic side, where we have some of the part shortages, where we're literally missing one part before we can ship something. So as soon as those are coming in, we're able to turn it around. And I think the backlog is a testament really to the end of market demand.
Jeff Hammond: Okay, and then and then just to be clear. I think you said you lost some revenue, or you had some deferred revenue in electronics, but that was not the case in hydraulics, and maybe just if you can quantify kind of how much you think slipped to the right?
Tricia Fulton: Yes actually, we had it in both segments where we saw deferred revenue, as a result of parts shortages, or not having the parts on a timely basis. It takes us some time, once they get in the building to be able to build it and turn around and ship it. And we saw some of these parts really freeing up the last couple weeks of the quarter. But we weren't able to necessarily get everything out the door. But then, we had falls into October. I would say, of what we had about two thirds of it is electronics and one third of this hydraulic.
Jeff Hammond: Okay, and then just last one is we look into fourth quarter, should we think of the step down and revenue and margins as, as seasonal? Or is there something more there? And maybe particularly on the margins? Is there's something getting particularly worse there because, again, as you know my model kind of shows the same thing like incremental has been pretty consistent through the year. Thanks.
Tricia Fulton: Yes, and given everything that we're seeing on the supply chain side, we've been cautious with Q4 recognizing that it's going to require a very strong flow of products or components coming in the door to ship along with that clearly in Q4. There's always some seasonality that's related to less shipping days due to holidays specifically in North America and EMEA. So it's probably a little bit of both I would say. But I don't think there's anything that you need to read into that other than those two items supply chain, and normal seasonality for holidays.
Jeff Hammond: Okay, thanks so much.
Tricia Fulton: Thank you.
Josef Matosevic: Thank you.
Operator: Our next question is from Josh Pokrzywinski with Morgan Stanley. Please proceed.
Joshua Pokrzywinski: Hey, good morning, guys.
Tricia Fulton: Morning, Josh
Joshua Pokrzywinski: Tricia, you mentioned, kind of the share gain and folks who can't get supply from their kind of traditional supply base, seeking you guys out and you're able to fill in on that. I'm sort of wondering like, how do you see that evolving going forward? I mean, I would imagine that, all those customers, including your own core customers are trying to validate kind of backup suppliers, just in case like, do you think that there's some sort of like, normalized middle ground where they spread it more evenly between yourselves and maybe their historical supply base? Or do you think you're winning more where it may be kind of a suspect in application where they were just sort of go with you from now on as, as this all blows over of course?
Josef Matosevic: Yes. So a couple of things, Josh. As we said before, we invested in our own destiny here, knowing that the supply chain constraints will and should happen. And so, we had a lot of folks within our key competences, suppliers, actually work them hand in hand. And then we also developed our internal capabilities with our makers by strategy here, meaning, as we acquired new businesses, we didn't only acquire capacity, but also capability. And once we fully flushed this out, it clearly made sense, there's certain core competencies that we can manufacture, internally, not just much quicker, but also much more cost effective. And it can flow through our, our process accordingly. So all this combined, got us to a point where we can have, where we are in a position to hold our lead times very steady and, and meet our demand with our customers. But then at the same time, with our diversified market strategy, where we worked and targeted three customers within each, each of our business units on the electronics and hydraulics, and that process, has become very strongly and now we're in a position where we, won a couple of them and also announced another one today is going to carry out with over the next five, six years. So look, all in, all in we do believe we will, we will have an advantage as a company in terms of our lead times. But also from a cost structure standpoint, we will not be as dependent as we were once before a couple of three years back. So we’ve taken the proper steps, as we have announced it in the investor meeting. Tricia, you want to add…
Tricia Fulton: No. I think you've covered it.
Joshua Pokrzywinski: Got it? That's helpful. Sorry.
Josef Matosevic: No, no, go ahead. I just want to make sure we answered your question.
Joshua Pokrzywinski: Yes. Absolutely did. And then I guess, maybe taking a step back on kind of how you've seen a book-to-bill layout. And through the year, and how you feel about backlog seasonally, with kind of pull-ins versus push-outs on a customer's taking delivery. Again, we're going to go spend really strong kind of all year here, just wondering the sequencing or backlog position is changed at all as you guys pass through the year.
Josef Matosevic: Yes. I mean look, demand remains very robust pretty much in both of our segments. That's not that hasn't been an issue. In terms of pull ahead, I think we are focused on shipping exactly what the customer needs right now. So we really don't experience or have or have had any mortgaging of other quarters, so to say. So we don't have debt going on in terms of orders going forward, look we are really super excited how 2022 could shape out. We are by nature, a very, very humble and conservative company. So, our visibility in the hydraulic segment, it's only a couple three weeks, so visibility in the electronic segment is a little broader. And as long as we can mitigate our supply chain constraints that the world is facing, we should have a pretty decent 2022. So the backlogs are strong in both segments, and nothing has been mortgaged, and we're trying to fill into demand but also stay very methodical and disciplined, not by over committing, and under delivering to our shareholder value here is pretty lucrative going to 2022 I would say.
Joshua Pokrzywinski: Great, appreciate the color. Best of luck.
Josef Matosevic: Thanks. Josh.
Operator: [Operator Instructions] Our next question is from Jon Braatz with Kansas City Capital. Please proceed.
Jon Braatz: Good morning, Josef and Tania.
Josef Matosevic: Good Morning.
Jon Braatz: Two questions. Number one, obviously this morning, there's a lot of buzz surrounding the infrastructure bill. And I guess when you speak to your customers, can you help sort of separate us separate reality from the hope and expectation on this on this on this bill? Will it actually prove good approved incremental to the demand that you're seeing in 2022? Or is it just going to be more of a longer term issue?
Josef Matosevic: I think in our, in our area of the niche market, Jon is clearly an opportunity for incremental volume. What we have been discussing with our OEM customers, what is the supply constraint look like from an overall product offering? We may be on time and we may be delivering the products and so may others as well. But what is the total impact that they experiencing currently? So that's what we're trying to learn, Jon. But from in terms of your question, we do see this as incremental opportunity for us.
Jon Braatz: In 2022.
Josef Matosevic: Yes.
Jon Braatz: Okay. Okay. All right. And then secondly, last couple of quarters, Balboa’s revenues have been sort of sequentially flat. Are you seeing the impact the favorable impact from the pandemic, on their revenues beginning to abate? Are you seeing any, any change in as it related to the, to the pennant pandemic?
Josef Matosevic: Yes, so I think what that relates to Jon is more electronic components shortages. Once again, our pattern has been very robust and [Indiscernible] we could have shipped a lot more product if look ahead. Well like Tricia said earlier, we have a week that we kind of go hand to mouth and then in the last couple of weeks of the quarter, the product starts flowing nicely, but you run out of daylight. So, no, we have not seen a stoppage or slow down yet. And certainly hope with our augmented strategy on diversifying the market and the acquisition of Joyonway we will be able to penetrate that product line into many more other markets, that certainly our strategy. And if supply chain maintains where it is right now, we should be pretty good.
Jon Braatz: Yes. Okay. Alright, Josef, thank you very much.
Josef Matosevic: Thanks so much.
Operator: We have reached the end of our question and answer session. I would like to turn the conference back over to Josef for closing remarks.
Josef Matosevic: Thank you, operator. Thank you all for joining us today. As always, we certainly appreciate your interest in Helios and look forward to updating all of you on our fourth quarter next year. We remain super confident in our ability to continue to grow and deliver value for all of our stakeholders. Have a great day and stay healthy.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.